Operator: Welcome to OET's Third Quarter 2025 Financial Results Presentation. We will begin shortly. Aristidis Alafouzos, CEO; and Iraklis Sbarounis, CFO of Okeanis Eco Tankers will take you through the presentation. They will be pleased to address any questions raised at the end of the call. I would like to advise you that this session is being recorded. Iraklis will now begin the presentation.
Iraklis Sbarounis: Thank you. Hi, everyone. Welcome to the presentation of the earnings results of Okeanis Eco Tankers for the third quarter of 2025. We will discuss matters that are forward-looking in nature, and actual results may differ from the expectations reflected in such forward-looking statements. Please read through the relevant disclaimer on Slide 2. So starting on Slide 4 in the executive summary. I'm pleased to present the highlights of the third quarter of 2025. We achieved fleet-wide time charter equivalent of about $47,000 per vessel per day. Our VLCCs were almost at $46,000 and our Suezmaxes at $48,000. We report adjusted EBITDA of $45.2 million, adjusted net profit of $24.7 million and adjusted EPS of $0.77. Continuing to deliver on our commitment to distribute value to our shareholders, our Board declared a 14th consecutive distribution in the form of a dividend of $0.75 per share. Total distributions over the last 4 quarters stand at $2.12 per share or approximately 90% of our [indiscernible]. Since the end of the quarter, we have declared the purchase options for our last sale and leaseback financings on the Nissos Rhenia and Nissos Despotiko, which will be delivered to us in the second quarter of next year. Moving on to Slide 5. We have, over the years, stated our clear and strategic policy of distributing and maximizing value directly to our shareholders. Since we have had a fully delivered fleet in 2022, we have distributed over 90% of our adjusted EPS. Since our IPO in Norway in 2018, we have distributed approximately $435 million in dividends or 1.8x our initial market cap. This quarter, with visibility into very strong Q4 bookings as well as pictures that run into Q1 and our view on the current market dynamics, our Board decided to distribute 100% of our reported EPS at $0.75 per share. On Slide 6, we show the detail of our income statement for the quarter and the 9-month period ending in September of 2025. TCE revenue for the 9 months stood at $172.5 million. EBITDA was almost $125 million and reported net income was over $63.5 million or almost $2 per share. Moving on to Slide 7 and our balance sheet. We ended the quarter with $58 million of cash and approximately $51 million of trade receivables on top. Our balance sheet debt was $617 million. Book leverage stands at 57%, while our market adjusted net LTV is around 40%. On Slide 8, I'm taking the opportunity to go over one of our key competitive advantages, our fleet. We have a total of 14 vessels, 6 Suezmaxes and 8 VLCCs with an average age of only 6 years. That's the youngest fleet amongst listed crude tanker peers. All our vessels are built in South Korea and Japan, are scrubber-fitted and eco-designed. Our focus on modern assets is clearly paying off in our commercial performance. We have recently completed the dry dock of the Nissos Sifnos, while the Nissos Sikinos follows during the quarter. And I remind you that for 2026, the only capital expenditure we have is for 1 Suezmax, the 10-year dry dock of the Nissos. Slide 9, moving on to our capital structure. At the end of the summer, we concluded the refinancing of the Nissos Sanafi with a Greek bank, completing the series of refis of our 3 Chinese leased vessels, all 3 at margins between 135 and 140 basis points. These transactions continued within the strategy we set when we commenced the cycle of improving pricing and breakevens, extending maturities and adding flexibility. Since 2023, our margin has improved by 155 basis points on the 12 refinanced vessels or 125 basis points across the entire fleet. That's a benefit of about $8 million of 1 year at our current debt levels or $1,500 per vessel per day across each vessel of our fleet. As I mentioned earlier, we recently declared the purchase options for the Nissos Rhenia and Nissos Despotiko. The former is expected to be delivered to us in early May and the latter in early June of 2026. We have several options available to us at the moment on how to refinance those vessels, and we look forward to the opportunity to further improve our capital structure and breakeven levels. As an illustration, we have calculated the imputed margin across all 14 vessels in the second half of next year, assuming we finance these 2 VLCCs at similar terms as the ones we have achieved in our recent refis, potentially bringing our fleet-wide average margin down to 160 basis points. I will now pass the presentation to Aristidis for the commercial market update.
Aristidis Alafouzos: Thank you, Iraklis. Firstly, I would like to thank the whole OET team and the technical manager as this is a genuine team effort. These results are product of in-house management and Greek ship loving devotion. Q3 is traditionally the seasonal low point of the year. But once again, we were able to deliver very solid operational performance. Fleet-wide TCE came in at $46,600 per day with VLCCs at $45,500 and $48,200 on our Suezmaxes, and we achieved near perfect utilization across the fleet. If we compare our earnings peers that have already reported Q3 results, our outperformance for the quarter stood at 30% for the VLCCs and 45% for the Suezmaxes. Our commercial strategy this quarter focused on positioning the VLCCs to open in mid-Q4 with a strong balance in the West ahead of the winter market. One of our VLCCs performed a clean air product backhaul voyage to reposition to the West and 3 other of our VLCCs fixed transatlantic voyages to capture improving summer rates as well as keeping the position in the West for Q4. On the Suezmax side, the Sikinos and the Sifnos, both secured long-haul front-haul voyages heading east for their dry dock schedules, while our remaining 4 Suezmaxes stayed in the West and capitalize on very healthy regional conditions. The Suezmax is a very versatile asset that we really love. If you optimize on triangulation, niche trades and limit waiting time, you can really outperform the market. These decisions maximize returns, protected our utilization and continued the trend we've seen all year. Our Suezmaxes once again outperformed the VLCCs on a per day basis, and this is the fifth consecutive sector. Looking ahead to Q4, it's shaping up to be a fantastic quarter. What is most exciting, though, is that the rates have continued to strengthen, and we're covering days in Q1 already at 6-digit figures. As of today, 80% of our VLCC spot days are fixed at $88,100 per day and 48% of our Suezmax days at $60,800 per day. This gives us a fleet-wide average of $80,700 per day on the fixed portion, and this is roughly 2/3 of the quarter. Similarly to the Q3 results and based on peers that have already reported earnings, our guidance outperformance on fixed days stands at 37% for the VLCCs and 33% for the Suezmaxes. The positioning choices we made in Q3 are now paying off wonderfully. 4 VLCCs, which we had in the West have been fixed on long-haul eastbound voyages, locking in strong returns for long duration. Nissos Kea fixed a prompt cargo out of West Coast India to do AG to the East at very attractive levels as well. We also fixed the VLCC for a backhaul at rates we would love to do on a fronthaul voyage. When she is open in the West, if we are able to fix the U.S. Gulf East cargo with limited waiting at today's rates, we will have covered over 4 months north of $125,000 per day on that particular ship. The Suezmax segment remains firm as well with Sifnos now out of dry dock and Sikinos next in line. Our earnings on our 3 -- on our 6 Suezmaxes were impacted, though, by repositioning the Suez to and from dry dock. We have yet to see delays in the Turkish trades, which is a huge driver of Suezmax strength in the winter. Now a little bit about the market. This is a real tanker bull market. Rates showed strength from the end of the summer, which is seasonally a weak period and continue to push onwards. What gives me confidence today is that we have all sides pushing. The VLCCs will drive 20 points higher 1 week. And the next week, you have Afra and Suez catching up, then the VLCCs happen again. This has happened consistently throughout Q4. The increased flow of cargoes does not give charters the time to sit back, let the position list grow and push down rates. Tightening global sanctions continue to restrict supply of compliance tonnage. And with OPEC+ announcing incremental production over the past months plus rising tonne-miles out of the U.S. Gulf, Brazil, Guyana and West Africa, we expect a strong winter in Q1 across both our asset classes. It is evident that the U.K., U.S. and EU sanctions have created challenges for Indian, Chinese and Turkish receivers, but we'll get into this a bit later in further detail. We continue to outperform the market on Slide 13 and our peers quarter after quarter. As the only listed pure eco and fully scrubber-fitted tanker platform, we consistently sit at the top of the earnings stack. Since late 2019, we have generated roughly $220 million of cumulative outperformance, $113 million from our VLCCs and $107 million from our Suezmaxes. This may just be luck, but it could also be the result of a disciplined strategy, fleet quality and an agile commercial mindset that lets us react faster than the broader market. On this slide, we've been showing versions of this for a long time because the trend is unchanging and extremely supportive. More than 40% of the global VLCC and Suezmax fleet is over 15 years old and around 20% is involved in sanctioned trades. These vessels are effectively removed from mainstream employment. At the same time, the order book remains modest, around 14% for VLCCs and less than 20% for Suezmaxes, with many of those delivering after 2027. Now it's true that ordering has picked up recently, but there are several important mitigating factors that prevent us from feeling any stress on this. Most new orders are scheduled far up, in many cases '28 and '29 because earlier yard slots simply are not available. A meaningful portion of orders is replacement tonnage for very old ships, not incremental growth. And importantly, sanctioned tonnage continues to grow faster as a share of the global fleet than the order book. This further reduces the mainstream fleet available for compliant trades. I am personally convinced that sanctioned vessels and non-sanctioned vessels that use dodgy flag states and insurances while engaging in sanctioned business will never return to the mainstream market. So even with an uptick in ordering, the broader picture improves. Retirements are not being replaced fast enough, effective comply continues to shrink and the modern end of the market where OET sits remains exceptionally tight. Building on the previous slide and current order book, another mitigating factor is yard capacity. Even if orders wanted to -- owners wanted to place large orders today, they simply couldn't on any scale for anytime soon. Global shipbuilding capacity is halved since 2010, both the number of active yards and total output and yards are allocating capacity to higher-margin projects. This reinforces our conviction that the value of a modern, efficient fleet like ours will continue to rise. Against this backdrop, OET is resilient by design. Our fleet is young, fully echo and 100% scrubber-fitted, purpose-built to outperform in an aging market where a large portion of older noncompliant vessels will struggle with EEXI and CII requirements. Roughly 40% of the global VLCC and Suezmax fleet are eco-design. At OET, the number is 100%. Turning to the broader macro environment. Fundamentals remain constructive. The IEA remain -- projects that supply will modestly exceed demand through 2026, leading to some stock builds. Even more supportive, recently, IEA brought back the no peak oil scenario. In this view, oil and gas keep rising through 2050, while coal use declines more slowly than many expected. This effectively drops the idea of peak demand and points to a longer and stronger role for fossil fuels in the global energy system. I personally do not subscribe to the large stock build theory. OPEC+ has underproduced to its quota and effectively, a lot of sanctioned crude is floating. Effective supply of compliant crude is much more manageable. Saying this, a flat forward price on crude or even a slight contango is the healthiest for our market. It does not incentivize drawing storage like when in backwardation, nor does it pay for real storage when in a deep contango, which could be a short-term boom, but will create medium-term pain. The shallow contango or a flat oil market, which we are in, makes longer haul business affordable, which is exactly what the tanker game wants. What matters, however, is the composition of where those barrels come from. Incremental supply is coming from the Atlantic Basin, the U.S., Brazil, Guyana, while demand growth is driven by China, India and wider Asia. India has been a surprise this year and has shown formidable growth in oil demand. This all means longer voyages, more ton miles and higher utilization for large crude carriers. On Slide 18, we illustrate visually a point made earlier. Most incremental production is coming from the Atlantic, while demand is anchored in Asia. This dynamic increases tonne-miles and tightens vessel availability, precisely the environment in which our fleet is optimized to perform. This slide is very pertinent if we tie in what is happening with sanctions, which we cover in the next slide. As India, Turkey and China divert some of their purchases to Western compliant crude, where do they buy from? Some comes from the AG, while also West Africa, Brazil, the U.S. Gulf and Guyana. Sitting next to my spot team and following cargo quotes every day, it is abundantly evident that this replacement is occurring. And this is exactly what we need to drive our market, new compliant cargoes replacing noncompliant cargoes. This is very bullish freight and time charter rates, but it's also bullish values, which I'll explain in the next slide. Now sanctions. Sanctions have been a major structural driver. Roughly 16% of the global fleet is under sanctions. And when you include shadow tonnage that is unlikely to return to the compliant trade, the mainstream crude fleet is actually shrinking. This is the first time in many years we've seen negative effective fleet growth on the compliance side. And I repeat, I strongly believe these ships are never coming back to compete on compliant trades. More importantly, Iranian and Russian exports remain near record levels, but barrels are harder to place and pushing more crude into floating storage. Repeating myself, this storage is increasingly covered by older shadow tonnage, which is unlikely to reenter the compliant trade, shrinking the mainstream fleet. So let's look at what is the effect of Turkey, India and China reducing purchases of Russian crude. Firstly, until now, exports do not stop and nor do we expect them to. Shutting down production in Russia just has too many medium-term problems that weigh out, but that outweigh short-term challenges. So the cargo flows. India and Turkey reduce imports. And where do these laden ships go? They go towards China. This is the most likely eventual buyer. Right off the bat, the average voyage has doubled. Then as the Chinese cannot just absorb all this extra crude, every voyage incurs additional waiting time while the cargo is waiting to be sold. This can easily add another 20 to 30 days per voyage. Next, due to the most recent sanctions on Rosneft and Lukoil, compliant tonnage that was moving Russian cargo legally under the price cap has greatly reduced. Finally, Ukrainian drone attacks have impacted Russian refinery outputs, where product exports have been meaningfully restricted. What does this mean? More crude to be exported. These 4 points have severely stretched the dark fleet. In my opinion, the dark fleet size as of this summer cannot move the cargo base today, incorporating longer voyages, more waiting time, less compliant tonnage and more crude exports. So the dark fleet needs to grow. The dark fleet will grow, and this will further reduce the size of the compliant fleet while pushing up values. Replacing sanctioned barrels with compliant supply would lift demand for mainstream ships, tightening effective supply and supporting freight rates. For owners of modern assets like us, this is a powerful tailwind. Last interesting point for today's market overview is inventories and oil on the water. OECD inventories remain near the low of the 10-year range, while crude in transit is at multiyear highs. China is buying for their SPR, while a lot of the floating crude in transit is sanctioned crude, having a challenge to discharge due to stricter sanctions enforcement. That's a clear sign of a tight market, and it supports an elevated freight environment, especially for modern efficient vessels like ours. With all of the above backdrops from both supply and demand side, crude tanker utilization is now 93%, the highest level in 3 years, corresponding to highly attractive rates, similar to the period before the EU ban on Russian crude. Every 1 percentage point increase in utilization equates to roughly $25,000 per day for VLCC and $15,000 per day for Suezmax. Having our cost basis in mind, this illustrates the significant operating leverage of our platform. For the past few years, Q1 has been a very strong quarter and often the strongest. We do not think that 95% to 96% utilization in Q1 is unlikely at all. To close the presentation, rates have strengthened meaningfully. VLCC earnings on Middle East to China route are above 2022 highs today and Suezmax rates are firming in tandem. Eco and scrubber-fitted vessels earn a clear and constant premium, and OET sits at the very top of that curve. We have absolute spot exposure, a lean balance sheet and a young high-spec fleet. This combination gives us exceptional torque to sustain crude tanker upside. As a team, we are now focused on continuing this level of outperformance when it really matters like today. Thank you.
Iraklis Sbarounis: Operator, we're opening up for questions. Thank you.
Operator: [Operator Instructions] Your first question comes from the line of Frode Morkedal with Clarksons.
Frode Morkedal: My first question -- so yes, you clearly benefited from being spot exposed. My question is really, how do you see time charter opportunities now? What's the duration? What type of levels can you achieve? And what type of -- what do you need to see to change out of being fully spot?
Aristidis Alafouzos: Frode, thank you for your question. I think that the strength of the market really caught off guard most of the charters. And the rates that makes sense for owners have adjusted so materially since the summer that charters are still trying to reassess and get comfortable paying these levels. At the moment, I think these past few months, especially on the Suezmax have been very busy in that 1- to 2-year segment. We've seen some 3-year deals. The VLCC as well. You're not seeing very much longer period deals than this. But also a lot of the oil majors have really reduced their time charter size of their fleet, and they will have to grow that in the near future. And time charter -- oil majors are a lot more selective on who they want to do long-term business with, and they look to established owners rather than funds owning ships or more speculative setups. So I would say that if you wanted fixed time charters, you definitely can. But when you're earning like on a west position of VLCC that we have is earning $145,000 to go to U.S. Gulf, China and back to Singapore for 80, 90 days. The TCE rates of the charters need to increase a little bit more. And I think that in Okeanis' perspective, given our outlook for the next 6 to 12 months, it's so attractive that the TCE rates have to be materially higher than where they're being quoted today.
Frode Morkedal: Makes total sense. So it sounds like you're going to be spot for the time being at least. So maybe my second question is, can we talk more broadly on your strategy today? I guess you mentioned your IPO a few years ago. At that time, I think you're more like an asset play and growth. Of course, that was a different time and a different point in the cycle, right? Now you've clearly been more in the harvest mode and just paying out dividends. But things are changing, I guess, again. And so where do you see investment or buying ships in today's market? It seems like if I look at the broad peer group, equities are trading above NAV again, and then that might be more tempting again. I don't know, what's your view on investments?
Aristidis Alafouzos: So, I think for Okeanis, the most important thing for our shareholders is for us to continue paying dividends. So as we've said over multiple calls, the main focus will be being able to pay out dividends to shareholders at levels similar to that we do today. In terms of investments, I think the most attractive investments are assets that you can have delivered quickly. I mean I think purchasing something that delivers in 3 or 4 years is too far out and it's too much capital committed for a company like us at the moment. But overall, as an organic shareholder, I think that we continue to buy dividends, dividends and more dividends.
Operator: Your next question comes from the line of Omar Nokta with Jefferies.
Omar Nokta: Yes. Congratulations on the quarter and obviously, the bookings for 4Q look amazing. I wanted to follow up a little bit on Frode's question and your answer about assets from here. Clearly, after a good amount of outperformance, I guess, fairly consistently, the stock has garnered a premium valuation relative to the group, and you are at a significant premium to NAV. And that seems obviously well earned. And it looks like the market is basically saying, listen, we want you to grow or at least we want more assets in your portfolio to continue capturing this outperformance. And so if -- you mentioned newbuildings perhaps out of the question, looking for assets on the water. Two-part question. One, would you want to continue to scale into [ Vs ] and Suezmaxes? Or do you go down into the Aframaxes? And then two, how do you think about being able to continue to capture that premium you have been getting if you were to go from 8 VLCCs today to 16. Do you think your platform would be able to continue to capture its premium rates?
Aristidis Alafouzos: Omar, firstly, thank you for the question. Also, your report was the first one I read before I took my kids to school. So it was a nice positive report and made me feel good about the morning. And -- in terms of opportunities, I think that we examine many opportunities. And up until now, we haven't found one that fits, and we're very careful about selecting the right opportunity for the company and our shareholders. And in terms of looking at which assets we scale into, I think potentially, of course, so it's a theoretical question. For us, the sweet spot is VLCCs and Suezmaxes. Historically, as a family, we've also been very comfortable and traded Aframaxes a lot. But I think it's important right now to stay within the sectors that our investors know and not to do any surprises by ordering, especially product tankers or stuff that's very foreign. So we would like to stick in the sectors that we currently own and that we currently believe in the most, which is why we own them. In terms of growing, we control in Okeanis, 8 VLCCs, and we have some more on the private side. And I think that the footprint, it can comfortably grow to 20 or 25 ships without impacting how we like to trade our ships materially. And again, this is just a theoretical discussion. I'm not -- we don't -- we're not going to surprise with the 16 VLCC newbuilding order. But I think we can still manage with another 4, 6, 8 VLCCs to continue trading on the backhauls that we like, making sure we pick the right front hauls and not having too many ships overlap. But the more you grow, the more careful you have to be that you don't have too many ships opening in the same area at the same time and having that overlap, which makes you forced to choose suboptimum cargoes. And I think that looking at some of the very big fleets in our sector, they've been forced at times to do that. And it's obviously a huge benefit not to be forced to do that. And we just need to be very careful as a smaller company that when we do fix our ships, we have them spread out in a way that we can capture volatility throughout the quarter because it's such a -- luckily, Q4 has been so awesome that it's just been fantastic throughout. But we had this huge spike early in October, and we didn't have very many ships open for that. So we fixed 1 ship out of the 8. If that was the end of Q4, we wouldn't have locked in much. But we had spread our ships out throughout Q4. So we're able to fix ships in late October and throughout November, and we're able to fix the entire fleet. So positioning becomes much more important as you scale up or scale down.
Operator: Your next question comes from the line of Liam Burke with B. Riley Securities.
Liam Burke: Yes. You traded one vessel clean this quarter. Do you plan on continue trading clean? Or is the market on the crude side so good that you'll flip it back into the crude fleet?
Aristidis Alafouzos: Thanks for your question, Liam. We've mentioned previously, as hard as we tried, we've never been able to trade a crude carrier for a consecutive voyage in the clean market. So we were able to get to clean her up, load in the Arabian Gulf, come to Europe and discharge. We've tried to do some transatlantic voyages, and we weren't able to get fixed on that to go load in the U.S. and come back to Europe. So the plan is that once we've discharged all the gas well we have on board, we go over to the U.S. Gulf for Guyana or Brazil and load a front haul East and make $145,000 a day for 75-plus days.
Liam Burke: Nice business if you get it. And then on the -- you talked about evaluating the capital structure. You've got taken care of some low-hanging fruit by buying your vessels out of sale leaseback. Where else along the capital structure do you see opportunity?
Iraklis Sbarounis: Liam, let me take this one. Yes, the low-hanging fruit have actually provided quite a significant amount of value, both in terms of pricing, in terms of extending maturities, in terms of improved amortization profile. All of that effectively adds to the bottom line. So we look at it more from the perspective of how we can structure anything that's accretive. So, so far, we have taken advantage of an extremely competitive financing market with relationships that we have already in the banking segment as well as new markets that we have been developing and are achieving really, really good rates. So long as we continue to do that, I think it's an easy and good strategy to improve and increase value. So now that we have indeed declared the purchase options for the 2 remaining leases, we have a bit of time. Those come in, in May and June. This is obviously still an option for us to go down that path. And so long as we continue to see the very competitive rates, I think there's a lot of value to be extracted there. The next maturities that come in line, I think we still have time. And given where the average cost of our capital structure will be, hopefully, post June. I don't think that there's going to be anything imminent that we would need to be working on. But we have options and we continue to explore them all the time.
Operator: Your next question comes from the line of Climent Molins, Value Investor's Edge.
Climent Molins: I wanted to start with a market question. Aframaxes have been consistently outperforming LR2s for a couple of months, and the delta has been quite significant at times. Could you talk a bit about the factors that have kept the dirty over clean premium so wide?
Aristidis Alafouzos: Climent, thank you for your question. Look, I mean, I just -- Aframax has been overperforming LR2s. So obviously, the LR2 has had an order book that's been delivering. And I think that a lot of the LR2s have been more traditional Aframax owners. So perhaps the first voyage, you see them trade clean to come west where the preferred location for a modern Aframax and then they dirty up. But as you've seen that crude exports have increased, the compliant trade has increased overall, and it services the Turks, the Indians and the Chinese as they replace some of the Russian and the Venezuelan that they're struggling and the Iranian that they're struggling to import. It creates more opportunities for the dirty Aframaxes. I think historically, the dirty Aframaxes have also been much more volatile. They have a lot more regional trades. So you have the Cross Med, which is a 15-day voyage. You have the U.S. Gulf TA. You have a lot more shorter runs where you can see like more local volatility than the LR2. And I guess it's quite fluid. I mean, as we've shown that we can clean up an uncoated ship in now in about 15 days and the VLCC, which is 3x an Afra, I think you'll see a lot more flexibility on LR2s, which are coated. So it's even easier trading between clean and dirty. And you'll see the swapping between whichever market is stronger. So I guess, over time, we should see rates between the 2 find balances. And then they'll fall out of balance, and then you'll see one or other class clean up or dirty again and find balance and so on and so forth.
Climent Molins: Makes sense. It's just that I would have expected some more switching, but the [ premium ] has remained at least for a while. And final question from me. You've had several dry dockings throughout 2025, but it seems you only have Suezmax to dry dock in 2026. Would you tell us when you expect to conduct it?
Aristidis Alafouzos: The Milos, which is the ship we'll dry dock in 2026, we're looking at second half, most likely. We have a bit of flexibility. So definitely not in Q1, but we can push it around a bit. We'll try to time it when the market is a bit weaker.
Climent Molins: Perfect. That's helpful. And congratulations for the quarter.
Operator: Thank you for your questions. I will now turn the call back to Iraklis Sbarounis, CFO, for closing remarks.
Iraklis Sbarounis: Thank you. Thanks, everyone, for joining. We look forward to touching base again with a new year presenting our Q4 results. We're pretty excited for that. So looking forward to that in a few months. Thank you.
Aristidis Alafouzos: Thank you, guys. We really appreciate your time.
Operator: This concludes today's call. Thank you for attending. You may now disconnect.